Kevin Miller: Good morning, and thank you for joining the RCM Technologies Second Quarter Conference Call. This is Kevin Miller, Chief Financial Officer. I am joined today by Brad Vizi, RCM's Executive Chairman. 
 Our presentation in this call will contain forward-looking statements. The information contained in the forward-looking statements is based on our beliefs, estimates and assumptions and information currently available to us. These matters may materially change in the future. Many of these beliefs, estimates and assumptions are subject to rapid changes. For more information on our forward-looking statements and the risks, uncertainties and other factors to which they are subject, please see the periodic reports on Forms 10-K, 10-Q an 8-K that we filed with the SEC as well as our press releases that we issue from time to time. 
 I will now turn the call over to Brad Vizi, Executive Chairman, to provide an overview of RCM's operating performance during the quarter. 
Bradley Vizi: Thanks, Kevin. Our second quarter results continued the strong momentum we established as we exited 2020 and entered 2021. Across each of our divisions, revenue, profitability and overall business activity increased sequentially, and many reported material improvement in year-over-year performance. As discussed on our first quarter call, we are investing in human capital and infrastructure to support our next phase of growth. But in order to truly capitalize, we need to not only optimize for the RCM that exists today but also position the company for success well into the future. 
 This requires direction and a clear vision. The broad remission for RCM is simple, to grow into a world-class services organization, one that utilizes an innovative approach to solve our clients' most pressing problems, leverages cutting-edge technology to deliver enhanced solutions and anchors to our client-first culture to ensure our customers scale sustainably into the future. But to turn this vision into reality, we must leverage and build upon the solid foundation that is now in place. Our strong balance sheet, the structured approach and how we plan to scale our business, and having the right focus. 
 All 3 are critical, and each one is playing its part in helping us get closer to our broader vision. Securing our vision requires an innovative approach to engaging with clients, and this requires creative thinking. Our balance sheet is the strongest it has been in nearly a decade. And we are leveraging our financial strength to make strategic investments in our leadership team across the board. Our vision requires us to be viewed as thought leaders in each of our end markets. 
 There are 2 key additions to the senior ranks. In particular, I'm excited to highlight for you today. Starting with our Executive Vice President of RCM Aerospace, Tina Ciocca. Tina brings over 30 years of experience in both the commercial and military aerospace markets. Previously, Tina was the President of a large aerospace services company, Butler America Inc. Under Tina's leadership, Butler grew its modest aerospace presence to a 9-figure book of business. Tina was instrumental in developing the strategic vision to build the company and cultivating long-term relationships with numerous OEMs. I have enjoyed tracking Tina's career from afar. I am exhilarated to have her as a member of what I believe to be an elites table of industry veterans committed to cementing RCM's position as a professional services powerhouse focused on mission-critical end markets. 
 The second new addition to our leadership team at RCM is Peter Grossman. Peter is joining us as Senior Vice President onto Energy Services. Peter has deep expertise in the energy transmission market, spanning over 25 years in various management positions at Siemens. During his time at Siemens, Peter has worked around the globe where he led the high-voltage GIS technology effort. Peter is internationally renowned for his experience in GIS and has hit the ground running, helping RCM build on its position as the authority in what is likely to be a multi-decade build-out of the power grid. 
 Having oversaw a significant turnaround of RCM, interrupted by the pandemic, getting to round out our leadership with some of the top executives in their respective verticals is truly special to me. Though our objective is ambitious, it is well underway, and every employee of RCM is committed to working tirelessly towards our shared vision of the future. 
 As stated, leveraging technology is also a necessary ingredient to fulfilling our vision. Our commitment to optimizing our approach has resulted in RCM making a range of strategic investments to revamp the company's digital architecture and technology-focused solutions. For example, our Engineering and IT groups have both revamped their digital presence, and we are in the process of updating RCM corporate as we speak. This digital transformation will enable us to apply more rigor and data to our sales funnel, engage our customers more efficiently and deliver higher value solutions that incorporate the latest technology. 
 I encourage you to visit the new web presence for our Engineering and IT divisions at www.rcmengineeringgroup.com and www.rcmitgroup.com, respectively. 
 Lastly, our vision also requires RCM to stay ahead of the curve regarding our clients' needs. Not only does this require a client-centric culture, but it also requires us to evolve from an on-time and underbudget mindset to one of anticipation. Put simply, our future success depends upon our ability to anticipate the next wave of solutions that will help our clients scale. But to do so, we must be in lockstep with our customers in deeply understanding their needs, which requires focus. And our commitment to focusing on the right end markets, the right clients, and the right business unit is a significant reason as to why we sold our Canadian power systems unit. Given our long history in the Canadian nuclear market, it was not an easy decision, but the business was no longer strategic to the future of RCM. 
 So as we work to turn our strategic road map for RCM into reality, we also know we can't lose sight of the day-to-day tactical execution in servicing our customers. And on that front, I am encouraged with the team's second quarter performance, and I want to share several highlights before Kevin dives deeper into the numbers. 
 First, our Q2 results were strong across the board. IT, health care and Engineering all performed well during the quarter. The team continues to execute, and our commitment to the process is now turning into tangible results. The performance of our Engineering segment, which was a laggard coming out of the downturn, is worth noting in more detail. 
 Engineering segment revenue for the second quarter increased 18.5% sequentially and 20.6% year-over-year, with the main driver of the group's improved performance being our Energy Services division. Also of note, the group's backlog and pipeline strengthened during the first half of the year. Consistent with our remarks on our last call, we anticipate improved performance going forward. We are particularly excited about the activity we are seeing from some of our major utility clients on the renewables front and look forward to sharing more updates as we head into the second half of 2021 and beyond. 
 I am also pleased with the profitability and cash flow generation exhibited during the quarter. The company's adjusted EBITDA increased 27.5% sequentially and year-over-year increased by $2.8 million to $2.3 million from a loss of $0.5 million. We generated $15.3 million in cash flow from operations during the quarter despite making substantive investments in working capital as revenue growth accelerated. 
 Our net debt now stands at $8.3 million, a 61% decrease from Q1 2021's balance of $21.4 million. As previously alluded, substantial improvement to our balance sheet was a near-term strategic imperative as it affords us the ability to be opportunistic on the capital allocation front as we transition towards an offensive mindset. 
 As we look to the third quarter and beyond, we are closely monitoring developments related to the COVID-19 and its variants. Despite the near-term risk and outbreak poses to the business, we remain cautiously optimistic that our operational momentum will continue as we head into the second half of the year. 
 In closing, our mission is to become a world-class services organization inextricably linked to the success of our clients. We do not shy away from that statement. We embrace it. We have laid the necessary foundation, crafted division and have assembled an excellent team that will turn this vision into reality. We remain excited about RCM's long-term prospects. And I look forward to sharing more updates regarding our progress in the future. 
 Now I will turn the call back to Kevin to discuss the Q2 2021 financial results in more detail. 
Kevin Miller: Thank you, Brad. Regarding our consolidated results. Revenue grew sequentially by over $3.3 million compared to Q1 '21 and $16.3 million year-over-year. As Brad mentioned, adjusted EBITDA in Q2 '21 was $2.3 million, an increase of 27.5% sequentially and a $2.8 million increase year-over-year. Gross profit expanded to $12.3 million, a 44.3% increase from Q2 '20. SG&A expense increased by approximately $1 million year-over-year as we continue to invest in our team systems and digital footprint. 
 Now turning to our health care division. The group generated $22.9 million in Q2 '21, which represents an 8.5% increase sequentially. On a year-over-year basis, the division's revenue increased by 115% as compared to $10.3 million generated in Q2 '20. Strength was broad-based as the division has secured several new school contracts. We are optimistic about the group's outlook heading into the second half of the year. 
 Our IT and life sciences segment had another solid quarter, with revenue and profitability up sequentially and year-over-year. On revenue, we generated $9.1 million in Q2 '21 compared to $7.9 million in Q2 '20, and $8.9 million in Q1 '21. The group continues to perform well as we expand our partnerships across select key markets, and remain encouraged about the level of activity we see from each of our practice areas heading into the second half of the year. 
 Lastly, turning to our Engineering division. As Brad mentioned, we generated revenue of $16.9 million in Q2 '21, growing both sequentially and year-over-year. our aerospace unit continues to perform well, and we are pleased with the continued strength and activity we see in the unit's backlog and pipeline. Energy Services continues to build momentum as we enter the back half of the year, and we are excited about some of the developments regarding our electric utility clients. 
 Finally, our process and industrial unit had several big project wins in Q2. Taken together, we are optimistic about the outlook for all 3 business units heading into the second half of the year. 
 This concludes our prepared remarks. At this time, we will open the call for questions. 
Operator: [Operator Instructions] 
 It looks like our first question is coming from Alex Rygiel. 
Alexander Rygiel: A nice quarter. A couple of quick questions. You mentioned a lot of confidence with regards to backlog today. Any more metrics you can add to that? 
Kevin Miller: Alex, as you know, we generally don't give out those specific figures. So I really can't give you any specific metrics other than what Brad and I discussed in terms of the backlog and the pipeline being very strong, and much stronger than what we've seen over the last 12 months. 
Alexander Rygiel: And as it relates to health care, can you talk to us a little bit about your school nurses, and maybe what sort of utilization rates you're at in the quarter? How we should think about that in the second half of the year? 
Kevin Miller: Well, we typically have very high utilization rates in our health care staffing group, [ peer ]. The only time we have utilization rates that aren't in the mid- to upper 90s is when school is out. We do have some salaried health care professionals that are on the payroll during that time. But other than that, we're very, very high. We have very few health care professionals that aren't being billed when they're working. So utilization is just generally very high all the time, and we expect that to continue into next year. 
 I think as we look out to next year, maybe what you're really asking is where are the risks. And the big risk is our school is going to be 100% open, like they were in 2019, pre COVID. And the answer to that is we're optimistic about it. But we won't really know until we're live in school in September, October, November. 
Alexander Rygiel: Based upon the contracts that you have in hand today, if schools were open 100%, what would the revenue contribution look like on a quarterly basis? 
Kevin Miller: I don't know the answer to that, and it's not that I'm trying not to answer the question because we just don't -- we don't really know what our revenue is going to be in any quarter. Obviously, we have an idea on the range. But we don't really know because from school-year-to-school-year, the school needs at each client can change a fair amount. As we sit here today, I think we're pretty confident that what you see in the second quarter, we should see in the fourth quarter, perhaps a little bit better. But we just don't know is the bottom line. We won't know until we get into the school year. We are excited. We've added about 6 new contracts that we consider. None of them will be like the big 3, but we think a lot of them have some potential, but we just don't know until we get into getting the needs from the schools, which often we get at the 11th hour, and we really won't have a feel for it until we get into the fourth quarter. 
Operator: Our next question is coming from Bill Sutherland. 
William Sutherland: So on the Canadian power systems divestiture, will we see a continuing ops line going forward? 
Kevin Miller: You will not. You mean it discontinued. Is that what you mean or... 
William Sutherland: Yes, for Discontinued. Yes, yes, yes. 
Kevin Miller: Yes. No, you will not. The rules on that accounting changed a few years ago. It's much more stringent in terms of what's considered discontinuing ops. And this is not considered discontinuing ops because it's really not material. It's not a segment of its own. It's not something that is -- it's clearly not a segment. As you know, it's part of our engineering group. And it's really -- it's not a material business that we're discontinuing. We still do power generation work in the U.S. We're just not going to be doing power generation work with nuclear utilities in Canada. 
William Sutherland: So Kevin, did you shift any assets from Canada to the U.S.? 
Kevin Miller: Well, we didn't shift any -- you mean sale proceeds? 
William Sutherland: No. No, no. I'm thinking about the professionals. I mean the [indiscernible] yes. 
Kevin Miller: No. All of the employees of Canada power systems went to Framatome. So we had approximately 80 consultants up there, most of which were full-time salaried consultants, but we also had some independents that moved over to Framatome. And that's essentially what they bought, people and some contracts. And... 
William Sutherland: I'm sorry. So should we think about on a go-forward basis, some impact to the engineering? 
Kevin Miller: There will be an impact, of course. So just to give you some context, that business unit in the second quarter, which is 100% in the quarter because the date of the sale was July 30, was $2.1 million. And for the 6 months, we did $2.9 million. So that will give you an idea of the revenue that we will not have on a go-forward basis. 
William Sutherland: Got you. And then Brad, you mentioned with the hiring of Peter Grossman, the GIS expertise. Can you give us a little color on that opportunity for RCM? 
Bradley Vizi: Yes, certainly. GIS is a technology. That's been around for decades. It's way ahead of its cycle in terms of its rollout throughout Europe. We believe that's going to be a technology that's going to expand here domestically in the U.S. in addition to continuing to have opportunity in Europe. So we think that this could be a meaningful contributor to our strategic path going forward. But again, I think it's a good example of our kind of thoughtful approach to differentiating ourselves in the marketplace as being the go-to players in certain segments of the market. 
William Sutherland: Got you. So I was -- the last thing I was thinking about, given the positive direction of the balance sheet is, how would you guys kind of describe the M&A focus right now or maybe the level of pipeline activity there. 
Bradley Vizi: Yes. Historically, we've been opportunistic in our approach to M&A. And generally speaking, our strategy is to look for smaller engineering companies or even IT or health care for that matter that we think we can bolt-on and grow materially as opposed to transformation-like transactions. That being said, I wouldn't rule anything out. But suffice to say, we certainly take a lot of pride in our disciplined approach. But as far as where we're at today, there's nothing that we're actively evaluating of substance. 
Operator: Okay. It doesn't look like there is anyone else in the queue. [Operator Instructions] Okay. It doesn't look like there's any questions. 
Bradley Vizi: Thank you for attending RCM's second quarter conference call. We look forward to our next update in November. 
Operator: This concludes your call. You may now disconnect.